Matthew Beesley: Okay. Good morning, everyone. Welcome to Jupiter's full year results for 2025. I'm Matt Beesley, Chief Executive at Jupiter, and I'm joined, as always, by Wayne Mepham, our Chief Financial and Operating Officer. You will have already seen results in our morning's release, and Wayne will talk you through the details shortly. But from a financial perspective, last year was a challenging one for Jupiter. We started the year with materially lower AUM. We see multiple years of outflows. Client sentiment for risk assets was limited and short-term performance was not where we wanted it to be. But we remain focused on what we could control. Careful planning and deliberate management actions many taken in years before this one allowed us to navigate these challenges and make meaningful progress against our strategic objectives. Across cost savings, capital allocation and revenue generation, we have done what we said we were going to do, and in many cases, quicker than we had initially expected. Moving into 2026, we are demonstrably in a stronger position than we were 12 months ago. Many leading indicators are now firmly pointing in the right direction, giving us increased confidence on being able to deliver on our targeted 70% cost/income ratio. Investment performance has improved across all time periods. Client demand, particularly for risk assets, has grown, and we generated positive net flows for the first time since 2017. We've also completed 2 acquisitions, the larger of which not only avoided any client overlap, but positioned us to move into a new part of the U.K. market. Importantly, we also end the year with a highly engaged and client-centric workforce. One particularly pleasing aspect of today's results is that investment performance, crucial for any active manager and often a lead indicator, has markedly improved over all time periods. Our key performance indicator is measured across 3 years, over which 68% of mutual fund assets outperformed their peer group median compared to 61% last year. Nearly half of our total AUM was in the top quartile on the same basis. On a 5-year view, 75% of our AUM outperformed with more than 60% in the top quartile. But the biggest move we saw was over 1 year, where the figure increased by 42 percentage points to 84% of AUM outperforming with nearly 70% of our AUM in the top quartile of its peer group. A number of funds have had really strong performance over this albeit shorter time period, including both dynamic bond and strategic bond, which moved from fourth quartile to first quartile. A number of funds with our Merlin multi-manager capability also moved into the first quartile and the whole range is now above median over all of 1, 3 and 5 years. Looking at this from another angle, our larger funds are also continuing to perform well. At end December, we had 15 funds with over GBP 1 billion of client assets under management. Of these, 11 outperformed across each time period, with 6 funds top quartile over all of 1, 3 and 5 years. We know clients are rightly more focused on longer-term performance, but it is nonetheless encouraging to see such a turnaround and across all time periods. Strong investment performance is not necessarily a precursor to inflows, but it is nearly always a prerequisite. Let's move on to look at flows that we have seen through 2025. It's been great to see that flows have been broad-based across regions, client channels and capabilities. And that so far, this has continued into the first quarter of 2026. From a growth perspective, it was a really strong year with meaningful upticks across both retail and institutional client channels. We generated GBP 16.9 billion of gross flows were the highest that we have ever recorded. Across all regions, gross flows increased compared to the prior year and our AUM from European clients grew by just under 40%. This is a significant achievement given our ambitions to grow internationally. From a net flow perspective, we generated GBP 1.3 billion of net inflows in 2025. This is our first calendar year of net inflows since 2017. The institutional channel was the largest contributor here with GBP 1 billion of net inflows. The real turnaround, though was from retail clients, where we generated GBP 0.3 billion of net inflows with over GBP 2 billion coming in the second half of the year. In terms of investment capabilities, clearly, systematic was a material driver of flows. And within that, Global Equity Absolute Return or GEAR, continued to demonstrate excellent performance. And as such, client demand remained high. But this was not simply a GEAR story. Rather, the majority of the systematic range saw net inflows, including the long-only world equity fund, which tripled its AUM to over GBP 1 billion. Global equities was also a positive contributor, including demand for global leaders and gold and silver. And finally, something we've not been able to report for some time, our U.K. equity capability had positive flows across both retail and institutional clients, most notably into dynamic and growth strategies. It is indeed possible that we could now be seeing a more constructive outlook for U.K. equities going forward. So a welcome return to positive flows, encouragingly diversified across capabilities, channels and regions. And this momentum has continued so far this year. As of a few days ago, we generated positive flows year-to-date across both channels to the tune of over GBP 1 billion, and we now manage over GBP 70 billion of client assets. This time last year, when I discussed growth opportunities, I said we might expect most of these 7 investment capabilities to be larger within 12 months. Well, today, 5 of the 7 have greater AUM, most notably our systematic and global equity capabilities, which are more than 60% larger than they were a year ago. Of these, 3 have seen positive inflows, too. Where there has been a decline in AUM, some of this was cyclical, such as within Asian and emerging market equities after strong flows in the prior periods and some was more performance driven as with our unconstrained fixed income strategies. However, all of these are now performing well, particularly over shorter time periods, and we've already seen outflows abate from levels at the start of 2025. We have strong performance, and we are now positioned to be both more resilient and to better embrace the growth opportunities in front of us. And there are an increasing number of opportunities out there. For a long time, arguably, the smart trade for investors has been to be long U.S. large cap and to do so in a cheaper way possible, which largely meant owning S&P tracker indices. But we could now be entering into a new environment where clients' assets shift away from the U.S. and where markets become less correlated. Against this backdrop, active stock picking becomes ever more important. And if these conditions persist, this should be positive for active managers and even more so for Jupiter, given our areas of investment expertise. Before I hand over to Wayne, I want to give a quick update on the CCLA acquisition, which completed early this month. As you will be aware, CCLA are one of the U.K.'s largest asset managers focused on serving the nonprofit sector. And they bought GBP 15 billion of client AUM with them across charities, religious organizations and local authorities. This is a new client channel for Jupiter, and there's absolutely no client overlap between the 2 firms. It is a stable business with a long-term sticky client base. They bring complementary investment expertise too, across equities, real estate and multi-asset. And as you can see, the deal results in a much more diversified product range. Much like Jupiter, CCLA have a culture of open, transparent communication with their clients. So it's no secret that their recent performance has not been where they would like it to be. Using their charities fund as a proxy here and on a longer-term view, their flagship fund outperformed for 7 straight years, but has lagged comparative benchmarks more recently. Given their style, which is more focused on quality and growth and given what has happened within markets, this is understandable and indeed, to some extent, even expected. There are not long-term concerns here. But between a period of softer performance and the corporate event of the acquisition, it's conceivable that clients could use this as a catalyst event to consider allocations. For our own budgeting purposes, we are conservatively expecting a minor level of outflows from the CISA strategies through 2026. Overall, however, the deal remains highly compelling from strategic, cultural and financial perspectives, and the market seems to recognize this, too. And the opportunities for us to leverage the strengths of both businesses as a more scaled player in this large and growing client segment are meaningful, whether that is broader investment expertise, a global footprint or a more technology-driven operating model. Wayne?
Wayne Mepham: Good morning, everyone. So 2025 has been an eventful year for Jupiter with some key drivers of future financial growth. We announced the acquisition of CCLA, declared an additional distribution and identified further cost savings, all of which are important management actions that will drive value today and into the future on top of the organic growth in our underlying business. I'm going to put these into context both for our financial results in 2025, but more importantly, the expected benefits still to come. Of course, the CCLA acquisition completed only early this month. So the guidance I will give includes some estimates, and you should expect more on this in July. So let's kick off with the normal financial summary. Reductions in AUM have been one of our biggest challenges for a number of years. but the combination of those positive net flows Matt took you through and strong market performance since May has seen our AUM reach GBP 54 billion at the year-end. That's up over 19% with continued momentum into the new year. But of course, it's the average that matters for 2025 revenues, and that was down 5% to GBP 48 billion. Combined with lower fee margins, that results in around GBP 311 million of net revenues, excluding performance fees for the year. As revenues were down, our cost-income ratio is higher than I would like in the longer term at 82%. But our cost management initiatives brought benefits this year and the steps we have taken to grow revenue and manage costs will move us close to that 70% target. Performance fee revenues were strong at GBP 120 million. We committed to an additional distribution of 50% of 2025 performance fee revenues. So that leads to a distribution of GBP 60 million, which I will cover later. Overall, it means we delivered over GBP 138 million of underlying profits or GBP 62 million, excluding performance fees. That's a total underlying EPS of 19.4p. And without performance fees, that's an EPS of 8.7p, taking us to full year ordinary dividends of 4.4p per share. Let's look at this in a bit more detail, starting with AUM. Since the beginning of 2024, AUM has fallen each quarter and into April 2025. We all know about the outflows in 2024, nearly half of which came through in the final quarter. And early 2025 was also challenging with real market disruption in the lead up to tariff announcements. We reached a low of GBP 43 billion of AUM in April. But since then, we have seen steady progress each month from markets and importantly, for momentum, positive flows almost every month and over GBP 1 billion of flows in the last quarter alone. That's a strong sign for 2026. It means our AUM was up nearly 20% from the start of the year and it's up over 12% on the average for 2025. And that momentum has continued into 2026, so positive signs already for this year. As I've already touched on, net management fee revenues were down compared to 2024 at GBP 311 million. Fee margins were down on 2024 at 65 basis points, which was driven by ongoing changes to our business mix. That's both from net flows and market dynamics, pushing up AUM in relatively lower margin areas. It's a progression we saw through 2025, so we enter 2026 with a run rate margin of 64 basis points. It's also a trend that I expect to continue in the short term. So I'm budgeting for average margins to be around a further 1 basis point lower this year at around 63 basis points, but off a much higher starting AUM. Of course, that excludes the impact of CCLA, which I will guide to separately for this year. Along with performance fees, that's combined net revenue of GBP 431 million for this year. Those performance fees are a lot higher than I guided and is a clear demonstration of simply how difficult it is to predict, both in terms of AUM levels and alpha generated. But accepting years like this can happen from time to time, if I look back at the average income we've generated, that tells me that performance fees could be around GBP 20 million for 2026. I'd emphasize all the usual caveats and disclaimers and note as 2025 demonstrates, there is the potential for that to be much more. So let's move on to costs. Before I run through the details, I wanted to remind you of our approach here. We've always been very thoughtful on costs. We recognize there is both the opportunity and the necessity to focus on good cost management. Cost management to us means controlling necessary expenditure, but also allowing investment and controlling that expenditure whilst maintaining good investment with a high ROI requires careful planning, a good cost management culture and a willingness to explore new ways of working. And we've been doing just that for some time with our most recent work leading to that announcement in May of a GBP 15 million minimum targeted savings. And our approach translates well to the integration of CCLA with a further minimum savings of GBP 16 million through that same careful and considered approach. Matt and I have always delivered on our cost commitments. And as before, we see a path to get to that next milestone of a 70% cost/income ratio. So overall operating costs for this year, excluding those relating to performance fees, are down by GBP 5 million compared with 2024. But the split of comp to non-comp is a little different to what I expected even in July, and so I'll walk you through this. Firstly, our range of outcomes for total compensation costs is normally 45% to 49%. But for 2025, we have reported a 50% ratio, so just outside that range. That's a very short-term impact, and we don't expect that to repeat. In fact, our projections see that coming down by 2 percentage points in 2026. So the main reason we are above the target is the share price. It's nearly doubled over the course of the year, and that has an impact on the accounting for employee taxes on existing share awards. Of course, we seek to hedge the impact by buying shares, but that's an economic hedge and does not have -- does not remove the accounting cost. But these short term and largely accounting impacts have been more than offset by savings we have achieved in noncompensation costs. They are over GBP 11 million down on expectations at the start of the year and GBP 6 million down on our most recent guidance. That's the full year saving we targeted from noncompensation costs over a year ahead of schedule and absorbing higher variable costs linked to that rapid growth in AUM in the second half. And looking ahead to 2026 and still excluding CCLA, I expect our non-compensation costs to be around GBP 106 million. With the GBP 11 million saving already achieved, the increase reflects variable cost growth where they are linked to AUM. For my compensation guidance, where it's the same as I've said before, that's the 48% guidance from earlier this year and lower still in the future with combined -- and combined with non-comp costs gets us to the targeted savings of GBP 15 million. The investment we have made since 2024 in automation and through outsourcing has enabled us to achieve our lowest headcount since 2014 without adding to our ongoing noncomp costs. In fact, we have delivered savings there, too. So a lower compensation ratio through building scale and lower overall headcount despite having more people today in our investment management teams than we had some 10 years ago. And lower overall noncomp costs through systematic review of the smaller systems, the smaller supplier relationships that I said we would do and where we will continue to focus. With the results that we have a business that delivers greater operational efficiency today despite the well-documented cost headwinds. Turning to exceptional items. They were in line with guidance at GBP 6 million. I had said they might be higher this year, but it was dependent on the completion of the CCLA acquisition, and that did not happen until this year. So 2025 included some charge for the acquisition, but these will mainly come through in 2026 and beyond. Matt has already touched on this, but I wanted to provide an update on the CCLA financials, such as we can, having only owned the business for a matter of weeks. It's important that your model should only include 11 months of contribution. And of course, the half year is just 5 months. AUM was little changed from the announcement date at GBP 15 billion of AUM. The mix of business has changed a little and the run rate fee margin is now 43 basis points. The underlying fee rates have been stable for many years, but the mix of long-term assets to money market AUM driven by clients' needs could have an impact on the average in the future. From a cost perspective and before any synergies, my expectation is that compensation costs will be GBP 32 million and noncompensation costs will be GBP 20 million. That's 11 months' worth, so not quite half of that for this first half year. To remind you, we have a minimum targeted synergy saving of GBP 16 million to be achieved on a run rate basis by end 2027 and GBP 17 million of net cash costs to achieve the acquisition and integration. We continue to focus on the effective delivery of those financial measures, and I'll continue to update you as we progress. For your models, on synergies, I expect to deliver a good proportion of our target on a run rate basis by the end of 2026. But for the 2026 numbers, I've included GBP 4 million of reduction as savings from those headline costs I just gave you. On the acquisition and integration costs as well as the normal acquisition-related intangible asset, where we are reporting those as exceptional items. For that noncash intangible asset for now, I'll include an annual charge of GBP 5 million, and I'll confirm the number once finalized. For cash costs in exceptional items, I have GBP 14 million for 2026, and that leaves about GBP 5 million of integration costs still to come mainly in 2027. That is in line with my previous guidance of GBP 17 million net cash cost relating to the acquisition, which is, of course, after tax deductions. Later in the year, I will also set out how we intend to report on the group as a whole, so you can adjust your models. But for 2026, you should expect to get separate information on this business as we demonstrate delivery of the financial returns we announced. So finally, let's look at capital. So some capital movements after the balance sheet date this year. That's mainly the impact of the acquisition. And you can see the current expectation of our capital, but these are very draft numbers as at the completion date. Importantly, our capital position is broadly in line with where we have said, well above 2.5x cover of the higher capital requirement. That remains very strong, but also some of the acquisition integration costs have not come through yet. So I think about it net of those and still feel very comfortable we are well positioned for the future. Of course, this is after the ordinary dividend we proposed at 2.3p on top of the interim dividend of 2.1p, distributing half our underlying EPS for the year in line with our policy. And also that commitment to distribute half the performance fee revenues for just for this year. That's GBP 60 million of additional distributions, which the Board has elected to make through a combination of a special dividend and a new buyback program. So that's equally weighted between the 2, a GBP 30 million buyback or around 3% of issued shares and a 5.7p special dividend to be paid in May. As you know, we already have over 16 million shares in treasury. That's a share purchase we completed in 2025. The shares we're about to acquire and those treasury shares will be canceled. And when we are done, we will have bought back and canceled over 7% of our issued share capital since 2022. And that remaining capital continues to be put to work in liquidity positions for ongoing business needs and in seed capital, where we are supporting organic growth in our business. At the year-end, we held seed investments with a market value of GBP 73 million, all of which has been held for less than 3 years. And in 2025, we recycled funds from areas where we achieved our objective into our first active ETF and a Cayman Island domiciled version of our highly successful GEAR fund. It's early days for both of those. That Cayman fund has already attracted client funding. So we'll monitor the capital needs there very closely and put it to work elsewhere when I can. So to wrap up on the financials. Well, financial results are often a lagging indicator of performance, and that's really clear in the measures we have reported today. But there are also signs that give us indicators of future performance, too. Profits are up on 2024, driven by performance fees. But importantly, strong underlying revenue growth might be expected in the future, driven by rapid growth in the AUM at the year-end. We've delivered on our cost actions, implemented ahead of schedule and in considered way that doesn't compromise our growth potential. We have taken clear actions to deliver growth in the business, bringing in teams that are performing well as well as through the acquisition of CCLA. And finally, we have fulfilled our commitments to reward shareholders through strong distributions equivalent to 15.8p per share or well over 18% return on the share price just a year ago. Back to Matt.
Matthew Beesley: This is my fourth full year results as CEO here at Jupiter. So 3 years since we first presented this strategy for the future growth of the business. I wanted to briefly look back across the real progress we have made, but also to look forward to what is coming next. We've consistently stated that increasing scale is and remains the most important of our objectives. While we continue to deliver on our cost commitments, focus must shift on to driving top line revenues and to building scale. Importantly, scale for us is not simply a question of increasing the absolute pounds of clients' assets we manage. But by better leveraging our operating model, we know that new assets for us to manage will lead to higher incremental profit margins. We are making material and visible progress here. AUM has increased by 19% over the last 12 months, supported by positive client flows, strong investment performance and good market returns. And clearly, that number increased by a further GBP 15 billion in early February with the completion of CCLA. We continue to add depth to our expertise, investment expertise this year with the acquisition of the team and assets of Origin Asset Management as well as bringing in the new investment team to manage European equities. We are not yet where we want to be in terms of scale, but there's both momentum and growth optionality, both organic and inorganic right across the group. To deliver our target cost ratio, this growth in scale must be paired with an unrelenting focus on efficiency and cost discipline. Wayne and I have continued to deliver on our commitments here. But reducing complexity is not simply about taking costs out of the business. It is evolving our structure to ensure we have an efficient operating model. The most material change in that through 2025 was unquestionably the consolidation and outsourcing of much of our middle and back-office operation functions to BNY, which will help us work more efficiently and ultimately deliver a better service to our clients. As we look forward, we remain resolutely focused on cost discipline as we find efficiencies in our core business and deliver on synergies through the CCLA deal. In prior years, we've talked much here around the rationalization of our product range. That product range now being largely complete, the focus in 2025 was on sharpening the attractiveness of our active offering. Within the underlying business, we've always looked for ways to broaden our range of expertise that we offer to our clients. And we launched 2 active ETFs last year listed in the U.K. and across Europe and also our first fund on our offshore Cayman platform. The joining of CCLA brings a whole new client channel to Jupiter, broadening our appeal now across into the nonprofit channel where we hadn't previously had any presence. Clients' needs continue to evolve, and we must evolve with them. But through the additions of new capabilities and new methods of delivery, I'd argue that Jupiter has never before appealed to as broad a range of clients. Our fourth and final objective is to deepen relationships across all of our stakeholder groups. For our clients, we continue to produce high-quality and improving investment outcomes. For our shareholders, who we appreciate who have not had the easiest of journeys in recent years, we have now delivered a meaningfully positive shareholder return and have announced total dividends of 10.1p per share and another share buyback program of up to GBP 30 million. Everything we have discussed this morning, though, has only been made possible by the hard work of our people who work tirelessly to serve our clients. We regularly conduct star surveys, and I was delighted to see that in our most recent survey, our engagement score was 88%. This is a truly great result. It is up 9 points from where we were 12 months ago and also 9 points ahead of the financial services benchmark. So it is fitting that in 2025, we were selected as one of the Sunday Times Best Places to Work. So we go into 2026, having made significant strategic progress. Many of our leading indicators are pointing in the right direction. Client sentiment has improved, and we are generating net positive flows. We built scale, both organically and inorganically, bringing new assets onto our operationally efficient platform. Investment performance is strong, and we have a broader platform of diversified and differentiated investment expertise than we've ever had before. However, we are not yet where we want to be. We know there is still a tremendous amount of work yet to be done, but we are unquestionably better placed today than we were 12 months ago to capitalize on the opportunities ahead of us. And if market trends persist, those opportunities for Jupiter could be plentiful. So with that, I will hand over to Alex to lead us to questions. I think first in the room, Alex, and then online.
David McCann: Dave McCann from Deutsche Bank. Three questions from me. Matt, you mentioned in the remarks that you're expecting or possibly could see some outflows in the CCLA business this year because of the performance of the funds. I think that's a reasonable assumption given what we can see there. A question really is, was that expected, as you say, when you did the deal and therefore, was it priced in? Or is this sort of an unwelcome development that's, I guess, cropped up since? And then probably one for Wayne. You accepting the significant caveat you made around performance fee guidance, you have increased effectively the guidance from 10 to 20, all else equal. So I just wanted some color what is the sort of waterfall to get from 10 to 20? Is this just extrapolating from last year, noting that obviously, GEAR hasn't started this year as well, but we're obviously very short as a short-term period. But we'll start with those, and I'll come on to the other one in a moment.
Matthew Beesley: Yes. Thanks, David. So the first question, the outflows from CCLA, was this expected. Yes, it was. Let's remember that CCLA as investment proposition has had many years of very strong investment performance, indeed, 7 successive years of outperformance prior to the 2 soft years of performance that they've currently delivered for their clients. So within context, as an active manager, this is not unexpected. They have a particular quality growth style of investing, and that style has been under significant pressure in the last 2 years, say, after a period of very strong performance. So while, of course, we want to see all our businesses grow, ideally, we recognize as active managers, there will be periods of time where some of our investment capability lags benchmarks. As a result of that, the outflows that we are suggesting might come to pass today are completely consistent with our prior expectations.
Wayne Mepham: In terms of performance fees, what I've done here is look back over time and taking into account the AUM we now have in those areas that can generate performance fees, obviously, taking into account watermark as well with some of those being below. So it's an extrapolation as you put it, in terms of the outlook. I mean you quite rightly referenced here short-term performance. I mean it's difficult in January. I think if you'd ask me that question just a month ago, you'd be putting the question in quite a different way. Clearly, that strong return in January hasn't continued into February. So it's very difficult to predict this far in advance. But yes, GBP 20 million based on history, extrapolated, I think, is the right number for now.
David McCann: Okay. And then the third and final question for me. Obviously, CCLA completed now, obviously, there's still some integration to do. But -- you touched on the remarks there, Matt, about the scalable platform and so forth. So would you be looking to do more of those kind of deals if you could find them? .
Matthew Beesley: Yes. So look, you're absolutely right, David. In the short term, the focus is very much on the successful execution of the integration with CCLA and we obviously outlined both our targets and our time line in that regard. As of today, Wayne pointed out the very robust nature of our balance sheet. We know this is a very capital-generative business. We have a focus on improving the profitability of this business. We are very much focused on that 70% cost-income ratio. And with that improved level of profitability would naturally come likely an improved level of capital generation as well. What I hope that shareholders see is that we're going to be thoughtful and judicious about how we deploy that capital. When opportunities arise for us to deploy it inorganically as with CCLA, as with the Origin Asset Management deal, we believe we should be looking into -- looking at those opportunities given how attractive they can be both strategically and financially. But absent those opportunities, as we've shown today, we will return that capital to shareholders. So the outlook from here is to remain judicious focused and balanced in terms of how we generate -- sorry, how we allocate that capital that we expect to generate.
Alex James: If no more in the room, we've got a couple online. One on flows for Matt and one on fee margins for Wayne. Matt, you referenced positive year-to-date net inflows across both channels. I wonder if we can give any more details around capabilities or regions or anything else. And Wayne, on fee margins, if you -- a question for a bit more detail around what's happened in the second half of this year and then the drivers of that guidance into 2026.
Matthew Beesley: So year-to-date, the trends we are seeing so far are very much consistent with the trends we saw at the end of 2025. So still a very diversified range of investment capabilities that are attracting new client money and also a diversified range of geographies. And indeed, the comment I made in my prepared remarks is that, that positive flow that we've seen year-to-date is effect of positive growth in both our institutional as well as our retail wholesale investment trust channel as well. So very much so far a continuation of the trends we saw at the end of 2025.
Wayne Mepham: Yes. So on fee margins, I mean, we always guide to in recent years a decline in the fee margin somewhere between 1 and 2 basis points on an annual basis. I mean, obviously, very difficult to predict because often and nearly always actually, it's due to business mix rather than any necessary fee pressure. Now I think what's slightly unique about last year is just the rapid change. I mean, I spoke about it in my prepared remarks, the AUM was down at GBP 43 billion in April, and we ended the year at GBP 54 billion. So that rapid increase in AUM and actually the weighting of the growth that came through, through that period was obviously beneficial to our business overall, it was tending towards lower fee margin areas of our business. So hence, why that increase. Now clearly, the impact so far is in this year has continued to follow really that trend that we saw towards the back end of last year. So hence, the 65 basis points for the year as a whole last year on average, end the year at 64 basis points. Clearly, I'm trying to look to the future and where it might go. At this stage, I'm seeing a 63 basis point average for 2026, of course, excluding CCLA.
Alex James: Thank you. No more questions online. No more in the room?
Matthew Beesley: Well, that leads me just to thank you all for being here today, and we look forward to updating you on our progress in the summer. Many thanks.